Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:00 [Interpreted] Greetings, and welcome to the ChipMOS Third Quarter Twenty Twenty One Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. I would now like to turn the conference over to Dr. G.S. Shen of ChipMOS Technologies Strategy and Investor Relations team to introduce the management team of the company in conference. Dr. Shen, you may begin.
G.S. Shen: 0:30 [Interpreted] Thank you, operator. Welcome everyone to ChipMOS third quarter 2021 results conference call. Joining us today from the company are Mr. S. J. Cheng, Chairman and President; and Ms. Silvia Su, Vice President of Finance and Accounting Management Center. We are also joined on the call today by Mr. Jesse Huang, Spokesperson and Senior Vice President of Strategy and Investor Relations. S. J. will chair the meeting and review business highlights and provide color on the operating environment. After Silvia's review of the company's key financial results, S. J. will provide our current business outlook. All company executives will then participate in an open Q&A session. 01:16 Please note, we have posted a presentation on the MOPS and the ChipMOS' website www.chipmos.com to accompany today's conference call. Before we begin the prepared comments, we advise you to review our forward-looking statements disclaimer, which is noted as the Safe Harbor notice on the second page of today's presentation. As a reminder, today's conference call is being recorded and a replay will be made available later today on the company's website. 1:46 At this time, I'd like to now turn the call over to our company's Chairman and President, Mr. S.J. Cheng. Please go ahead, sir.
S. J. Cheng: 01:57 [Interpreted] Yes. Thank you, G.S. We appreciate everyone joining our call today. This was another strong quarter for us with record revenue for the fourth consecutive quarter in Q3 twenty twenty one. We have delivered over twenty three point four percent revenue growth in the first nine months of twenty twenty one compared to twenty twenty with strong profitability and cash flow. We remain very close with our customers and are doing a good job supporting their demand and forecasts. 02:28 Challenges remain across the broader industry, but we are covering everything within our control. Let me give you some highlights from the quarter. First, we achieved the new quarterly revenue record with a twenty five point nine percent increase in Q3 twenty twenty one revenue year-over-year. This is up two point six percent over Q2 twenty twenty one. Gross margin increased eight hundred basis points for Q3 twenty twenty one to twenty seven point three percent compared to Q3 twenty twenty. Higher costs led to a ninety basis point decline compared to Q2 twenty twenty one and we achieved NT$ one point nine three in Q3 EPS compared to NT$ one point seven six of Q2 twenty twenty one with a one hundred and seventeen percent increase in the first nine months of twenty twenty-one. NT$ five point zero one compared to the same period of twenty twenty NT$ two point three one. I am very pleased that our profitability expansion is higher than our revenue growth. We continue to stress operating efficiency targets and utilization improvement. Our ongoing investments in automation are helping us maintain a Safe Work environment and let us hold operating expense at six point five percent of Q3 three revenue. 03:51 The overall utilization was eighty five percent in Q3 compared to eighty seven percent in Q2 as we continue to benefit from customers demand. Even with added capacity in before several quarters. And while we had a slightly lower assembly utilization level, It remains strong at ninety percent in Q3 twenty twenty one. Testing also held strong at eighty five percent. Lastly, our high end DDIC test platform utilization remained high in Q3 and DDIC remained at around eighty percent, despite the non-linear wafer supply led. Regarding our manufacturing business, assembly represented thirty percent of Q3 revenue, testing represented around twenty two percent and wafer bumping represented about eighteen point five percent of Q3 revenue. On a product segment basis, our DDIC including COG and COF was about twenty nine point eight percent of Q3 revenue with gold bumping representing about fifteen point seven percent of Q3 revenue. Revenue from DRAM and SRAM represented about eighteen point six percent of Q3 revenue. Our flash segment and the mixed signal segment represented about twenty four point eight percent of Q3 revenue and eleven percent of Q3 revenue respectively. 05:13 In terms of adding color on our business, our memory product benefited from healthy demand across all end markets with growth in IoT and consumer electronics, including gaming. Revenue was up about three point five percent in Q3 twenty twenty one compared to Q2 twenty twenty one. On a year-over-year basis, revenue was up about thirty two percent. Memory products represented about forty three point five percent of total Q3 revenue. DRAM revenue increased five point three percent compared to Q2 twenty twenty one led by consumer and automotive electronics demand and twenty two percent year-over-year. Total flash revenue benefited from application diversified and customers continuing restocking. Nor grew four point three percent in Q3 compared to Q2 twenty twenty one and grew more than thirty four percent year-over-year. Our NAND flash business increased about six percent compared to Q2 twenty twenty one and increased forty seven percent year-over-year. This represented thirty one percent of our total Q3 twenty twenty one flash revenue. 06:24 Moving onto driver IC-related product revenue, including gold bumping, I am pleased to report that our test ASP increase driven by customers optimized their product mix. This would have been even higher, but we continue to work through ongoing wafer supply bottlenecks from foundry capacity constraints. Despite the supply limits, our driver IC-related product revenue increased about two point six percent compared to Q2 twenty twenty one and increased about fifteen point five percent compared to Q3 twenty twenty. Driver IC-related revenue was about forty five point four percent of total Q3 revenue. Total DDIC revenue, including COG and COF was up just over twenty five point four percent year-over-year and increased three point three percent compared to Q2 twenty twenty one. We are benefiting from higher wafer loading with some key customers. 07:21 This helped our COF revenue increased four percent compared to Q2 twenty twenty one and represented forty five percent in Q3 DDIC revenue. TDDI revenue represented twenty four point three percent of Q3 DDIC revenue. OLED significantly grew eleven point two percent compared to Q2 twenty twenty one and represented about four point five percent of Q3 DDIC revenue. On an end market basis, revenue from automotive and industrial increased to fifteen percent of Q3 revenue. We continue to see long-term growth in both automotive and industrial. Smartphones and TV as an end market accounted about thirty three point five percent and about sixteen point five percent of Q3 twenty twenty one revenue, respectively. 08:12 Computing represented about eleven percent and consumer represented twenty four percent of Q3 revenue. Now let me turn the call to Ms. Silvia Su to review the third quarter twenty twenty one financial results. Sylvia, please go ahead.
Silvia Su: 08:30 [Interpreted] Thank you, S.J. All dollar amounts cited in our presentation are in NT$. The following numbers are based on the exchange rates of NT$ twenty seven point eight four against one US$ as of September twenty twenty one. All the figures were prepared in accordance with Taiwan International Financial reporting standards. Referencing presentation page twelve consolidated operating results summary. For the third quarter of twenty twenty one, total revenue was NT$ seven thousand one hundred and sixty one million. Net profit attributable to the company was NT$ one three ninety nine million in Q3. Net earnings for the third quarter of twenty twenty one were NT$ one point nine three per basic common share or one US$ and zero point three eight dollars per basic ADS. 09:24 We achieved a one hundred and sixteen point nine percent increase in net earnings for the first nine months of twenty twenty one to NT$ five point zero one from NT$ two point three one in the first nine months of twenty twenty. EBITDA for Q3 was NT$ two thousand seven hundred and twenty four million, EBITDA was calculated by adding depreciation and amortization together with operating profit. 09:51 Return on equity of Q3 was twenty point four percent. Referencing presentation page thirteen consolidated statements of comprehensive income. Compared to 2Q twenty one. Total 3Q twenty one revenue increased two point six percent compared to 2Q twenty one. 3Q twenty one gross profit was NT$ one thousand nine hundred and fifty eight million with gross margin at twenty seven point three percent compared to twenty eight point two percent in 2Q twenty one. This represents a decrease of zero point nine ppts. 10:28 Our operating expenses in 3Q twenty were NT$ four hundred and sixty three million or six point five percent of total revenue. Operating profit for 3Q twenty was NT$ one five twenty eight million with operating profit margin at twenty one point three percent, which is a decline of about zero point eight ppts compared to 2Q twenty one. Net non-operating income in 3Q twenty was NT$ one hundred and forty eight million compared to net non-operating expenses in 2Q twenty one. The difference is mainly due to the increase of the share of gain of associates accounted for using equity method of NT$ eighty five million. The decrease of foreign exchange losses of NT$ sixty two million and the increase of gain on valuation of financial assets and fair value through profit or loss of NT$ fifteen million. Profit attributable to the company in 3Q twenty one expanded nine percent compared to 2Q twenty one. Basic weighted average outstanding common shares were seven twenty seven million shares. 11:37 Compared to 3Q twenty. Total revenue for 3Q twenty one was up twenty five point nine percent. Gross margin increased eight point zero ppts to twenty seven point three percent. Operating expenses increased seventeen point four percent. Operating profit margin increased eight point seven ppts to twenty one point three percent. Net non-operating income in 3Q twenty-one were NT$ one hundred forty eight million compared to net non-operating expenses in 3Q twenty. The difference is mainly due to the increase of the share of gain of associates accounted for using equity method of NT$ two hundred one million and the decrease of foreign exchange losses of NT$ one hundred and twelve million. 12:25 Profit was up two hundred and thirty point four percent compared to 3Q twenty. The difference is mainly due to the increase of the operating profit of NT$ eight hundred ten million. Net non-operating income of NT$ three hundred and twenty seven million and partially offset by the increase of income tax expense of NT$ one sixty million. 12:48 Referencing presentation page fourteen consolidated statements of financial position and key indices. Total assets at the end of 3Q twenty-one were NT$ thirty nine thousand three hundred and thirty four million. Total liabilities at the end of 3Q twenty one were NT$ sixteen thousand four hundred and ninety two million. Total equity at the end of 3Q twenty one was NT$ twenty two thousand eight hundred and forty two million. Accounts receivable turnover days in 3Q twenty one were seventy seven days. Inventory turnover days were forty five days in 3Q twenty one. 13:29 Referencing presentation page fifteen consolidated statements of cash flows as of September thirtieth twenty twenty one, our balance of cash and cash equivalents was NT$ five thousand one hundred and eighty nine million increased NT$ one seventy five million compared to the beginning of Q1. Free cash flow for the first nine months of twenty twenty one was NT$ one four sixteen million compared to NT$ one thousand three hundred and twenty nine million for the same period in twenty twenty. The difference is mainly due to the increase of operating profit of NT$ one eight twenty million and depreciation expenses of NT$ three hundred and six four million and partially offset by the increase of CapEx of NT$ one four hundred and ninety four million. Income tax expenses of NT$ three twenty nine million and cash dividend paid of NT$ two hundred ninety one million. Free cash flow was calculated by adding depreciation, amortization, interest income together with operating profit and then subtracting CapEx, interest expense, income tax expense and dividend from the sum. 14:45 Referencing presentation page sixteen capital expenditures and depreciation. We invested NT$ one one seventy one million in CapEx in Q3. The breakdown of CapEx was four point four percent for bumping forty one point one percent for LCD driver. Thirty percent for assembly and twenty four point five percent for testing. 15:09 Depreciation expenses were NT$ one one hundred ninety six million in Q3. As of October thirty one, twenty twenty one, the company's outstanding ADS number was approximately four million units, which represents around twelve point four percent of the company's outstanding common shares. That concludes the financial review. 15:33 I will now turn the call back to our Chairman, Mr. S. J. Cheng for our outlook. Please go ahead sir.
S. J. Cheng: 15:40 [Interpreted] Thank you, Silvia. As we move into the fourth quarter, we expect to see continued customer restocking for consumer electronics launches, workplaces restarting and economies around the world continuing to grow. 15:56 Capacity is expected to remain tight and OSAT ASP will likely increase led by product mix optimization. However, this continues to be a challenging period for the industry as we all work together to remove supply chain bottlenecks. 16:11 We were not directly impacted by recent power shortages in China, but this does not help when wafer supply is already tight. Overall, we are cautious about the fourth quarter and taking a conservative view given broader market challenges and how strong the first nine months of twenty twenty one have been for us. For example, in memory, despite demand increasing in consumer and auto electronics, there is a semiconductor supply imbalance that may impact overall Q4 demand in the segment. Therefore, We are taking a conservative view about memory in Q4 and in DDIC tightened wafer supply is expected to continue in Q4. Which will cause DDIC utilization level fluctuations. However, our ASP continues to increase driven by customers optimize their product mix and that increase in Q4. So, we are some with cautiously optimistic about DDIC continuing to grow in Q4. 17:12 Operator, that concludes our formal remarks. We can now take questions.
Operator: 17:17 [Interpreted] Operator, thank you. At this time, we will be conducting question-and-answer session. Our first question comes from Jerry Su from Credit Suisse. You may begin.
Jerry Su: 17:32 [Interpreted] Why did Q3 revenue grow but gross margin declined?
Silvia Su: 17:38 [Interpreted] In Q3 we had increased depreciation, higher power costs and we recognized higher bonus costs due to the higher profit in Q3. Gold material inventory valuation loss compared to previous quarter.
Jerry Su: 17:53 [Interpreted] Could you provide more color about Q4 revenue and gross margin?
S. J. Cheng: 17:59 [Interpreted] As we move into the fourth quarter, in memory, despite demand increasing in consumer and auto electronics, there is a semiconductor supply imbalance that may impact overall Q4 demand in the segment. Therefore, we are taking a conservative view about memory in Q4. And in DDIC, our ASP continues to increase, driven by customers optimizing their product mix and OLED increasing in Q4. Further, ChipMOS did get some rush orders from customers led by the uncertainty of power shortages in China. So, we are somewhat cautiously optimistic about DDIC to be flat in Q4. In all, given the strength in the first nine months of twenty twenty one, we expect revenue could be flat to down in the low single digits. Gross margin would be slightly impacted by revenue declines and higher depreciation in Q4.
Operator: 18:58 [Interpreted] Next question comes from Stanley Wang of Sinopac Securities. Stanley, you may begin.
StanleyWang: 19:04 [Interpreted] Any impact to Unimos from the power shortage in China recently. If any, is there any calendar measure?
S. J. Cheng: 19:15 [Interpreted] There was no impact and Unimos has been turning profitable.
StanleyWang: 19:20 [Interpreted] Stanley Wang, Is there any customer input seeing signs of wafer supply improvement? How is chip MOS offsetting the impact on operations of wafer supply shortages?
S. J. Cheng: 19:34 [Interpreted] So far, we are not seeing any real wafer supply relief under such situation, we did see customers optimizing product mix causing a longer test time. Currently, better UT for high end testers led and worst UT for the others.
StanleyWang: 19:52 [Interpreted] Business momentum for memory products in Q4 by ranking, which is stronger nor NAND or DRAM?
S. J. Cheng: 20:03 [Interpreted] Nor Flash is better owing to auto NTWS application demand. Secondly, would be [Indiscernible] NAND and then niche DRAM.
StanleyWang: 20:12 [Interpreted] How is the tax rate of twenty twenty one?
Silvia Su: 20:18 [Interpreted] As usually about eighteen percent.
Operator: 20:22 [Interpreted] Thank you. And I am not showing any further questions in the queue. I would like to turn the call back over to G.S.
G.S. Shen: 20:32 [Interpreted] G.S. Shen. Thank you. I will orally read some questions from foreign institutional investors. The question is asking about your twenty twenty two dividend?
Jesse Huang: 20:46 [Interpreted] We don't expect any major changes to our dividend payout ratio, fifty sixty percent of EPS. However, the final dividend will be discussed and proposed by our Board and need to get approval at our normal annual AGM.
G.S. Shen: 21:00 [Interpreted] That concludes our question-and-answer session. Thank you for participating. I'll turn the floor back to Mr. S J. Cheng for any closing comments.
S. J. Cheng: 21:13 [Interpreted] Thank you everyone for joining our conference call. Please email our IR team if you have any more questions. We appreciate your support. Goodbye.
Operator: 21:27 [Interpreted] Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.